Operator: Welcome to the CollPlant Biotechnology Investor Conference Call to discuss Financial Results for the First Quarter of 2024 and Corporate Updates. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. Now, I'll turn the call over to Dory Kurowski of LifeSci Advisors. Please go ahead.
Dory Kurowski : I would like to welcome everyone to CollPlant Biotechnologies financial Results conference call to discuss the results for the first quarter ended March 31st, 2024, and provide a corporate business update. With us on the call today from CollPlant are Yehiel Tal, Chief Executive Officer, who will provide an overview of the company’s programs and associated updates; and Eran Rotem, Deputy CEO and Chief Financial Officer, who will provide a summary of CollPlant’s financial results for the first quarter ending March 31st, 2024. Both will be available to answer questions at the end of the call. Before we get started, I would like to remind everyone that statements made on this conference call may include forward-looking statements. Actual events or results could differ materially from those expressed or implied by any forward-looking statements as a result of various risks, uncertainties and other factors, including those set forth in the risk factors section of CollPlant’s filings with the Securities and Exchange Commission. These filings can be found at www.sec.gov or on CollPlant’s website at www.collplant.com. In addition, any forward-looking statements made on this call represent CollPlant’s views only as of today, May 29, 2024 and should not be relied upon as representing the company’s views as of any subsequent dates. CollPlant management specifically disclaims any obligation to update or revise any of these forward-looking statements. Finally, CollPlant management will refer to certain financial measures not reported in accordance with GAAP on this call. You can find reconciliations of these non-GAAP financial measures to the GAAP financial measures in the earnings press release that CollPlant published earlier today and which is available on CollPlant’s website at ir.collplant.com. Now let me turn the call over to Yehiel Tal, Chief Executive Officer of CollPlant Biotechnologies. Please go ahead, sir.
Yehiel Tal : Good morning everyone, and thank you for joining us today on CollPlant Conference call to discuss our first quarter 2024 financial results and corporate developments. CollPlant's mission is to discover, develop, and deliver collagen technology and regenerative medicine products to improve and prolong lives. We continue to carefully focus on our core programs and our supportive partners to advance this mission with the goal of creating products that enable the regenerations of tissue and organs. Since last year, we have been steadily advancing our innovative programs in the field of regenerative and aesthetic medicine. The thermal filler product that AbbVie, our business partner developed with our Collagen technology is in clinical phase and our regenerative breast implant program is in the preclinical phase. On this slide is the dermal filler that we are partnering with AbbVie. This product candidate is our top focus. Though the dermal filler market has lacked somewhat, we and AbbVie as stated in their quarterly conference calls, expect a ramp up in growth of the US fillers market. A rebound has also been evident as recently reported publicly by other companies in the injectables aesthetics arena. Aside from overall growth in this area, this particular product candidate has its own potential to create a paradigm shift in the dermal fillers market. Since in addition to tissue filling, it is expected to impart regenerative properties to the skin tissue. In June last year, we announced the achievement of an important milestone, added this collaboration, which triggered a $10 million payment from AbbVie to CollPlant. Our CollPlant agreement with AbbVie. CollPlant has the potential to receive additional milestones and option product payments as well as receive meaningful royalties on product sales. In addition to our partnered program with AbbVie, we have another version of a dermal filler under development, our photocurable dermal filler. During the last year, CollPlant was granted patents in the US, Brazil, Australia, and Israel, that relates to its photocuring technology that serves as the basis for its photocurable dermal filler product candidate. Under the agreement with AbbVie, CollPlant has granted AbbVie the right of first negotiation to obtain a worldwide exclusive license to the photo curable dermal failure product candidate. Now, I will discuss the latest developments with our other lead candidate or regenerative breast implant program. The regenerative breast implants that we are developing are comprised of our proprietary non-animal derived RH collagen and other biomaterials. Their uniqueness can be attributed to their design to both promote tissue regeneration and degrade in synchronization with the growth of natural breast tissue. This is a market that has been underserved in terms of safety and performance for decades. In 2023, the global breast implant market size reached $2.9 billion and the market is expected to reach $4.1 billion by 2032, exhibiting a compound annual growth rate or 3.7% during 2024 to 2032. You may recall the positive results from our first large animal study announced in January of last year, which demonstrated progressive stages of tissue regeneration after three months, or as highlighted by the formation of maturing connective tissue and neovascular networks within the implants. With importantly, no adverse events reported. Following this study, CollPlant conducted additional large animal studies last year that were intended to further optimize the implant design and composition. In this study's new tissue formation and no vascularization with no adverse tissue reactions were demonstrated confirming previous results. We are currently conducting our latest large animal study evaluating clinically relevant, commercial size implants that we began in December, 2023. These studies results are intended to be used for the design of a pivotal large animal study. The details of which we plan to discuss with FDA. We look forward to reporting results from this animal studies in the fourth quarter of this year and the first quarter of 2025. We have said previously that it burst repeating. We cannot stress enough the improvement that the regenerative breast implant could provide given the adverse events associated with currently available silicone implants, such as more serious breast implant associated anaplastic large cell lymphoma, which is a type of cancer. Every year in the U.S. alone, hundreds of thousands of people experience adverse events that range from autoimmune symptoms to this more serious side effect. Our breast implants are expected to regenerate breast tissue without eliciting immune response, and thus may provide a revolutionary alternative for aesthetic and reconstructive procedures. Through the development of regenerative breast implants, CollPlant is establishing the technological building blocks that are essential for tissue and organ manufacturing. We believe this will position CollPlant as a market leader in the field of regenerative medicine, in accordance with the company's vision statement. Regarding ESG, environmental, social and governance. Since last year, we have embarked on a series of bold initiatives aimed at significantly reducing CollPlant’s, carbon footprint, and harmonizing these initiatives with much broader overarching sustainability objectives. Following our ESG strategy, we have prepared our in inaugural reports that we plan on publishing this quarter. The report reflects CollPlant commitment to fostering environmental sustainability, enhancing human health, as well as advancing social and corporate governance objectives. Here in this slide, you see our areas of focus represented by material pillars that span from climate action and energy efficiency to health and safety and sustainable sourcing. Our commitments in this material areas underscore CollPlant’s unwavering dedication to responsible and sustainable business practices, promising long-term value creation for our stakeholders. That concludes my initial remarks. Now, I will turn the call over to our deputy CEO and Chief Financial Officer, Eran Rotem to provide a recap of the financial results. Eran?
Eran Rotem: Thank you, Yehiel. Good morning everyone. I will now review our financial results for the three-month period ending March 31st, 2024. GAAP revenues for the first quarter ended March 31st, 2024 were $98,000, a decrease of $335,000 compared to the $433,000 in the first quarter ended March 31st, 2023, and included mainly income from sales of our rhCollagen products. GAAP cost of revenue for the first quarter ended March 31st, 2024 was $545,000 compared to $325,000 in the first quarter ended March 31st, 2023. Cost of revenues includes mainly the cost of the company's average Collagen based products, royalty to the Israeli Innovation Authority for the company's sales and inventory rights off. The $220,000 increase in cost of revenues is mainly attributed to the fixed cost of operating and maintaining our production facilities against the quarter with relatively low revenues. GAAP operating expenses for Q1 2024 were $3.9 million compared to $3.6 million for the Q1 2023. Operating expenses include G&A expenses and R&D expenses that are related to supporting the company's development efforts in different programs, including the regenerative breast implants. The increase of $255,000 is mainly comprised of $74,000 in employee’s sales and share-based compensation expenses, including recruitment of new employees and $193,000 in research and development activities, mainly related to the breast implants project. On a non-GAAP basis, operating expenses for the first quarter of 2024 were $3.6 million compared to $3.1 million for the first quarter ended March 31st, 2023. Non-GAAP measures exclude certain non-cash expenses. GAAP financial income net for the first quarter of 2024, total $134,000 compared to financial expenses net of $196,000 in the first quarter of 2023. The increase is attributed to an increase in the interest rates and interest received from the company's short-term cash deposits in Q1 2024. GAAP net loss for Q1 2024 was $4.2 million or $0.37 basic loss per share, compared to a net loss of $3.7 million or $0.33 basic loss per share for Q1 2023. Non-GAAP net loss for Q1 2024 was $4 million or $0.35 loss per share compared to a net loss of $3.3 million or $0.29 basic loss per share for Q1 2023. Cash and cash equivalence as of March 31st, 2024 were $23.2 million, and we have no debts on our balance sheet. We believe this cash balance represent as of today, May 29th, 2024, a company cash runway that will satisfy our operations requirements at least until the end of 2025. Based on our currently contemplated operations and plans. Net cash used in operating activities during the first quarter of 2024 was $3.3 million compared to net cash used in operating activities of $3.4 million during the first quarter of 2023. Net cash provided by financing activities was $9,000 for the first quarter of 2024 compared to $803,000 in the first quarter of 2023. Cash provided by financing activities in Q1 2023 is attributed to proceeds from the exercise of warrants. As of today, the company has no outstanding warrants. This now concludes the financial summary. Operator, I believe that we can now open the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Swayampakula Ramakanth with H.C. Wainwright. Please proceed with your question.
Swayampakula Ramakanth : Thank you. This is RK from H.C. Wainwright. few questions from me. The first one is on the large animal trials that you initiated in December. Do you have a timeline for publication of the data from that specific study? And what sort of data should we expect from this large animal study that will help you design the pivotal one?
Yehiel Tal: Hi, RK. Thank you for the question. This is Yehiel. We have basically two time points that we are planning to report on this study. The first one is Q4 of 2024. The second one will be Q1 of ‘25. And the type of information will include basically first of all the formation of a new tissue in animal formation of angiogenesis. We will make sure that there is no foreign body response to the implants. And most importantly, we will also be able to check the quality of the newly formed tissue, which should be a fat tissue. So basically, the goal is to create adipogenesis in the tissue. So, these are the key objectives. And of course, in addition to that, we are also checking the surgical protocol to make sure that it's fully optimized. So, it will basically make the ground for the following studies.
Swayampakula Ramakanth: And then in terms of the pivotal study, which is also a large animal study. In terms of I know you have not really decided anything with the FDA yet. I understand that, but in general, how different would that be from this large animal work that you're doing? And also, does FDA require any long-term safety metrics from that study? Especially, since you were talking about the tissue caused lymphoma that you're just talking about with the current breast implants?
Yehiel Tal: That's a great question. First of all, in our studies, we are basically checking different aspects including the implant, the fatigue. We are assembling a package of information regarding, it's called the simulation and modeling, which is basically able to mimic the behavior of the implant in vivo. And basically, this will serve as part of the submission package to the FDA. Generally speaking, there is no draft guidance today, the FDA for regenerative breast implant. So, I would say that we are writing the book here. We are building the standards and what we are doing now is assembling a draft guidance that we will submit to the FDA and hopefully it'll be accepted. This is why we are collecting so many data because there are so many new technological building blocks that were not existing before, including the bioprinting of large implants. By the way, in the PR that you will see today, there is an image of 200 cc implant. This is something new. And of course, out of the testing that we are conducting is to see what is the impact of the implant size on the performance of the implant. I would say that, we are planning everything in a way that by the time we will submit, we'll go to a pre-ID meeting with the FDA, we'll have the package of information that is needed to satisfy their expectations, including safety and efficacy.
Swayampakula Ramakanth: Okay. Then in terms of the aesthetic products that AbbVie is developing what sort of what sort of expectations should we have in terms of data publication from them and what's the next major milestone payment that you could receive from AbbVie?
Eran Rotem : Good morning, RK. This is Eran. We are not allowed actually to talk about the timelines of AbbVie. And currently, we don't know when will they hit, what are the plans exactly, and when did will they hit the next milestone and pay us the next major milestone? We don't know that for sure, and in any way, we could not disclose it today. I'm sorry to disappoint you on that one, but it is still confidential.
Swayampakula Ramakanth : So, that's understandable. That's not an issue. Outside of that, I don't have any specific questions. Thank you.
Eran Rotem : Thank you for joining us, RK.
Operator: I believe that is the last question from our live audience participants. I'll turn it back to Mr. Rotem for any questions that came in online.
Yehiel Tal : Thank you, Operator. So, we do have one question from the audience and for Mr. Rotem and I will read it. As it relates to the balance sheet in which you have $23 million in cash, you mentioned you have at least until the end of 2025. Does this runway include future partnership revenue? Can you walk me through what your quarterly cash burn expectations are? So, yes, this cash runway guidance does not include any potential partnership revenues as the RK was referring to. And it is the cash runway is not including that with the current cash position that we are holding, we will be able to finance our operation at least until the end of 2025. And as it relates to the future, the quarterly burn, so where coal plans quarterly cash burn rates is not linear. In this quarter we saw the use of $3.2 million for the operating activities, and in the following quarters, we will also see different rates where, for example in a quarter in which we will have a large annual study, we will see higher expenses and vice versa. Beyond that, we as management we are aware to the state of the financial markets and accordingly, we are carefully monitoring the use of cash in the company
Operator: That concludes our questions from the audience, and I will now turn the call back to Yehiel Tal, Chief Executive Officer for any closing remarks. Yehiel?
Yehiel Tal: Thank you, Ron. Our vision is to be the leaders in regenerative medicine, helping people live longer and better through our innovative Collagen technology. In closing, I want to reiterate our upcoming goals for this year for the remainder of 2024 and into the beginning of 2025. We plan to focus on advancing the development of the paradigm shift in regenerative, dermal, and soft tissue filler program with AbbVie. Expand our large animal studies with commercial size breast implants to generate additional safety and efficacy data in support of future clinical studies, and commercialization of this product candidate. Continue to form collaborations with industry leaders for utilizing our Collagen and Biotechnologies and continued discussions related to our existing programs and products. Thank you everyone for your time this morning and for joining us for today's conference call. As always, we want to thank our very important and valued CollPlant team members.
Operator: Thank you. That now concludes today's conference call and you may all disconnect.